Operator: Good morning. My name is Craig and I will be your conference operator today. At this time, I would like to welcome everyone to the Insight Enterprises First Quarter 2021 Operating Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Ms. Glynis Bryan, CFO.
Glynis Bryan: Thank you. Welcome, everyone and thank you for joining the Insight Enterprises earnings conference call. Today, we will be discussing company’s operating results for the quarter ended March 31, 2021. I am Glynis Bryan, Chief Financial Officer of Insight. And joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the press release and the accompanying slide presentation that was posted this morning and filed with the Securities and Exchange Commission on Form 8-K, you will find them on our website at insight.com on our Investor Relations section. Today’s call, including the question and answer period is being webcast live and can be accessed by the Investor Relations page of our website at insight.com. An archived copy of this conference call will be available approximately 2 hours after completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, May 6, 2021. This call is a property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Insight Enterprises is strictly prohibited. In today’s conference call, we will refer to non-GAAP financial measures as we discuss the fourth quarter and full year 2021 financial results. When referring to non-GAAP measures, we will refer to such measures as adjusted. Non-GAAP measures to be discussed in today’s call, include adjusted selling administrative expenses, also referred to as adjusted SG&A, adjusted earnings from operations, adjusted earnings before interest, taxes, depreciation, amortization and stock-based compensation expense, also referred to as adjusted EBITDA, adjusted diluted earnings per share, including the benefit of the note said on our convertible debt and adjusted return on invested capital. You will find a reconciliation of these adjusted measures to our actual GAAP results included any of the questions or the accompanying slide presentation issued earlier today. Also, please note that unless highlighted a constant currency, all amounts and growth rates are discussed in U.S. dollar terms. As a reminder, all forward-looking statements that are made during this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks have expectancy and press release in greater detail on our most recently filed periodical fourth and subsequent filings with the SEC. With that, I will now turn the call over to Ken and if you are following along with my presentation, we will begin on Slide 4.
Ken Lamneck: Hello everyone. Thank you for joining us today to discuss our first quarter 2021 operating results. In the first quarter with the launch of COVID-19 vaccines, parts of the world began to waken from long quarantine and economic pause. With renewed optimism for a stronger 2021, demand improved in the quarter. Clients continued to focus on business agility and continuity by leveraging cloud solutions, for certain workloads. Our clear strategy and deep expertise delivering digital solutions to clients of all sizes, allowed us to grow our sales of cloud, SaaS and infrastructure-as-a-service high double-digits in the quarter, which drove cloud gross profit to 21% of our total gross profit, up more than 300 basis points year-over-year. In addition, hardware bookings trends improved throughout the quarter. Given the current supply constraints and long lead times we are working with clients to assess their 2021 device refresh needs and employee hiring plans to get orders placed and in the queue for fulfillment in 2021. As a result, we exited the first quarter with elevated backlog and are pleased to see the pipeline for future sales build to healthy levels. I am happy to report that our business returned to top line growth year-over-year in the first quarter fueled by low single-digit growth in corporate and enterprise clients and strong growth in public sector, particularly K-12. Largely consistent gross margins year-over-year combined with operating leverage drove adjusted earnings from operations, up 3% and adjust adjusted return on invested capital to 13.1%, up from 12.6% in the first quarter last year. Our performance for the quarter sets a good base for what we expect will be a strong year. We are happy with our team’s operational execution in the first quarter and our financial results are on track towards our 2021 commitments. Through a combination of organic investment, strategic M&A and a culture of innovation over the last 5 years plus, we have transformed Insight into a leading global intelligent technology solution provider, with a focus on integrated solutions, which are: digital innovation solutions to help customers navigate their digital transformation journey and improve their business end-to-end. Data center and cloud services solutions to help businesses modernize and superior critical platforms to transform IT; and thirdly modern workforce solutions that help organizations keep their employees connected, productive and secure. And underpinning these solutions areas is our strength in supply chain optimization providing clients with the critical products and services that they need. The world has gone digitally dependent and every successful business is now a technology business at its core. Just 10 or even 5 years ago, the pandemic might have completely crippled communities and markets. Instead, both private and public sector clients were resilient during the past year, quickly adopting and leveraging digital and cloud tools to better manage their business remotely and against the backdrop of increased cyber risk. Digital transformation is the heart of what we do for our clients and our track record of innovation over the last three decades marks our own evolution as a solutions integrator, capable of providing end-to-end expertise to envision develop, deploy and manage modern IT solutions at scale. With stay-at-home policies or hybrid work models in place, companies want the ability to access and secure their data via the cloud. With limited internal resources to assist in migration of servers, applications and data, companies need a partner who can not only get from Point A to Point B, but also can provide expert input as it relates to assessments, landscape definition, architecture and cloud consumption. For example, our cloud and data center transformation team was tasked with helping a credit union, which faced the challenges of office restrictions, migrate to the public cloud. Our team deployed their expertise and cloud solutions want to work on a strategy that simplified data protection and produced tangible benefits. They analyzed their credit union’s landscape identify dependencies mapped to migration journey and integrated disaster recovery and migration plan. As a result, 2 data centers were combined and consolidated and migrated to the cloud. Both recovery point and recovery time metrics showed improvement and there was increased access and security via the cloud. Furthermore, Insight will also provide ongoing management support on this continued migration for the cloud. The comprehensive methodology recommended by the Insight team on data replication and disaster recovery increased the short and long-term return on investment for the credit union. As we help clients, companies shift to public cloud and modernize their infrastructure, we are also engaged in improving data security. Whether our clients’ needs to implement new security measures for the business or enhanced security measures already in place, our connected workforce team has the expertise to provide solutions tailored to the needs of our client. For example, one of our clients who is a professional service provider for the government segment, needed help identifying and implementing a security solution to meet new government compliance requirements. In addition to compliance, they also wanted to reduce costs and improve their security baselines, including end user awareness to things like phishing. Our team implemented an architecture that included professional services and ongoing managed services that address remediation, management and maintenance of controls to meet security and compliance requirements. The managed services are a holistic solution to address not only technical policy security, but also focused on end user training and adoption of enlightened security practices. The important takeaway for this example is that our connected workforce team helps clients develop a technology strategy that provides the best end user experience, execute against it and maintain it to allow their businesses to reach and sustain their goals. Our team’s approach is to focus on providing capabilities that address three major business shifts: anywhere operations, improving employee experience, and empowering IT. At Insight, we offer the solutions that propel our client’s workforce forward, no matter how they work. Because of our client’s focused approach and the ability to execute a comprehensive portfolio of managed workplace solutions, we are positioned in Gartner’s 2021 magic quadrant for managed workplace services for the fifth consecutive year. We are proud to be recognized once again by Gartner for the service solutions we are providing to help our clients’ businesses run smarter. A cloud and data center transformation and connected workforce teams illustrate how our client-focused solutions are key to achieving our long-term priorities and driving value for our stakeholders. As a reminder, our long-term priorities are to: one, innovate in order to capture market share in high growth areas; second, to develop and deliver solutions that drive better business outcomes for our clients; third, expand and scale our business with strategic clients and end markets; and lastly, continue to optimize the client experience and our execution through relentless focus on operational excellence. These long-term priorities aligned to deliver on our short and long-term financial commitments. We are pleased with our execution in the first quarter and remain optimistic about the market recovery strengthening over the balance of this year. We are maintaining our outlook for 2021 from our previously issued guidance, which reflects continued progress towards these goals as well as our long-term goals that we outlined at our Investor Day in late 2019. The last year has reinforced a belief that the IT industry is resilient and demands for IT solutions will continue to evolve during economic downturns and recoveries. Across the markets where we do business for 2021, industry analysts expect mid single-digit growth across hardware, software and services sales. The recovery on a macro level has seen positive indicators in global markets. However, we expect the time and extent of the recovery to vary across our different clients and their markets. Coming into 2021, we had elevated backlog and that trend has continued throughout this quarter. Supply constraints due to chip and display shortages are now expected to continue through the balance of the year. However, we continue to see healthy hardware booking trends that are up significantly year-over-year so far in the second quarter. We will combine with already elevated backlog. We feel confident that we will see seasonally higher hardware sales in Q2 and over the balance of the year compared to the first quarter. The market is growing once again and we expect this will accelerate in the back half of this year. This acceleration will drive stronger top line growth in the back half of 2021 compared to what we expect to see in the first half of 2021. Strategically, we believe we are well positioned to compete in the areas our clients need most, namely improved workforce experience, modernizing their data centers and realizing the opportunity to go digital. Organizationally, we continue to try to optimize our resources to best position our solutions in the marketplace, including investing in our sales and technical teams to ensure we can lead with solutions in core end markets and enhancing those scalable IT systems and processes, including our e-commerce platforms targeted at the mid-market and those supporting as a service consumption models. We plan to continue to invest in these critical areas with the goal to deliver a great client experience, while also optimizing our infrastructure to scale for future growth. Recently, we recognized that Forbes as one of the best employers for diversity in 2021, ranking number 140 out of 500. The annual list covers 25 industry sectors and Insight is ranked the highest of 5 Arizona companies making the rankings. We have also been recognized as a great place to work and best place to work in various locations in North America, in EMEA and in Australia. We are well positioned to help our clients solve complex IT challenges. We believe that the strategic investments we made in go-to-market solution area for the last several years as well as investments in our solution and technical talent position us well to achieve our business goals. As you are aware, we announced this morning that I will be retiring. This has been a difficult decision for me as I care deeply about Insight and our incredible teammates. We accomplished a lot in my time at Insight and I am excited about our trajectory. We have a strong and talented management team and an engaged workforce who believe in continuing to execute the strategy that we outlined in our Investor Day in 2019. And Insight is very well-positioned for the future. The Board has hired a top tier search firm and the company has undertaken a thoughtful process to evaluate internal and external candidates. This is a critical search for Insight and I will be working with the board to identify the new CEO. I commit to continuing to lead this team of CEO until the right successor is appointed. Thanks to all of you for your interest and insight over the years. I’ll now hand the call back over to Glynis to cover the details of our financial performance.
Glynis Bryan: Thank you, Ken. In the first quarter of 2021, we executed well against our financial priorities gaining share in key categories [Technical Difficulty] while also investing in strategic areas for growth. For the consolidated company, our net sales in the first quarter were $2.2 billion, up 2% compared to the first quarter of 2020 driven by net increases in software and services net sales. Gross margin was 16.1% and SG&A expenses were down 2% in constant currency and up 1% in U.S. dollars. As a percent of net sales, adjusted SG&A was 12%, down 10 basis points year-over-year and in line with our expectations for the quarter. As a percent of net sales, SG&A on a GAAP basis was 12.4%, also down 10 basis points year-over-year. For the full year, we expect adjusted SG&A as a percentage of net sales will be 11.7%. Adjusted earnings from operations was $68 million, up 3% year-over-year compared to our 27% increase on a GAAP basis and adjusted earnings per share was $1.30 and $1.18 per share on a GAAP basis. Adjusted diluted earnings per share, exclude among other things, severance and restructuring expenses and the gain on the sale of real estate in Q1 2021 of $8 million. Moving on to the results of our operating segments starting with North America on Slide 13. In North America, net sales were $1.7 billion in the first quarter down 1% year-to-year due primarily to lower hardware sales as a result of supply constraints and extended product lead time driving higher backlog. Gross profit of $253 million in North America was down slightly year-to-year and gross margin of 15.3% was flat compared to prior year. North America’s adjusted SG&A decreased 1% year-to-year due to overall reduction in discretionary spending partially offset by increases in executive compensation as well as variable compensation due to new variable compensation plans implemented January 1. SG&A as a percentage of net sales on a GAAP basis was 12.5% in the first quarter. For the full year of 2021, we expect adjusted SG&A as a percent of net sales, will be 11.3%. Adjusted earnings from operations decreased 2% year-over-year to $54 million for the quarter. On a GAAP basis, earnings from operations increased 27% year-over-year to $54 million. In EMEA, net sales in the first quarter increased 5% in constant currency. Gross profit also increased 3% in constant currency. And when combined with the operating leverage from lower SG&A growth, this led to adjusted earnings from operations, which increased 50% in constant currency to $11 million. Moving on to Slide 15, in APAC, net sales of $59 million and gross profit of $12 million in the first quarter increased 2% and 10% respectively year-over-year in constant currency. Due to higher sales in hardware and services in the region which led to adjusted earnings from operations of $3 million in the quarter, up 21% in constant currency. Moving on to our tax rate, our effective tax rate for the first quarter of 2021 was 23.8% compared to 20.3% in the prior year quarter. In the prior year, the lower effective tax rate was due primarily to the re-measurement of acquired net operating office to be carried back higher tax years under the CARES Act. Turning toward cash flow, in the first quarter of 2021, we generated $43 million of cash flow from operation compared to $93 million during the prior year – during the same period last year. The decrease year-over-year is primarily due to working capital investments, including investments in inventory to support specific client engagements and additional short-term demands. As previously disclosed, we expect cash flow will normalize in 2021 as our business grows, such that for the full year of 2021, we expect cash flow from operations will be between $200 million and $250 million. In the first quarter of 2021, we invested approximately $8 million in capital expenditures, mainly related to technology and facility investments. We also received $27 million in net proceeds from the sale of 3 buildings in Tempe and our property in Woodbridge, Illinois. Today, we have the majority of our $1.2 billion ABL facility available and have ample capacity to fund future growth. At the end of the first quarter, we had a cash balance of $139 million, of which $119 million was resident in our foreign subsidiaries, compared to a prior cash balance of $63 million. We had $417 million of outstanding debt, including our senior convertible notes at the end of the quarter, down from total debt of $751 million in the prior year. As we exited the quarter with a leverage position at 1.1x get the cash flow or EBITDA, which is well within our level of comfort. On our ABL agreement, our primary compliance with covenant is a fixed charge coverage ratio which includes trailing 12-month EBITDA coverage over capital expenditure, taxes and cash interests. As of March 31, we are at 4x against the minimum requirement of 1x and we are confident we can support our capital requirements and liquidity needs. Next. I wanted to notify you that this week, our Board of Directors approved an authorization to repurchase up to $125 million of our common stock, including $25 million that was previously authorized in February of 2020. Subject to market conditions, we will commence this program during 2021. However, the guidance we are maintaining does not include the impact of this program as we will monitor market conditions over the coming week. We plan to update you on our second quarter earnings call regarding our progress and expected EPS impact for the year. As Ken mentioned, we are maintaining our previously issued guidance for 2021. We expect to deliver net sales flow between 4% and 8%. We also expect diluted earnings per share for the full year of 2021 to be between $6.60 and $6.80. This outlook assumes interest expense between $25 million and $28 million and effective tax rate of 25% to 26% for the full year of 2021, capital expenditures of $75 million to $85 million, including the build-out of our new corporate headquarters, and an average share count for the year of approximately 36 million shares. This outlook excludes acquisition-related intangible expense of approximately $32 million, the non-cash convertible debt discount and issuance cost reported as part of interest expense of approximately $12 million, and assumes no acquisition-related or severance or restructuring expenses. To assist with your modeling, we have posted a schedule on our website, on the Investor Relations page, which shows the expected amortization expense and the non-cash convertible debt discount and issuance costs by quarter for 2021. I will now turn the call back over to Ken.
Ken Lamneck: Thank you, Glynis. In addition to the awards mentioned previously, we issued our Third Annual Corporate Citizen Report in February, sharing how our environmental, social and governance practices possibly impact our teammates, clients and communities. Issues report emphasizes our continued access to support a team-oriented workplace and diversity, equality and inclusion and highlights how our values of Hunger, Heart and Harmony aligned with our investments in environmental and sustainable initiatives. Most importantly, we put people first. We don’t think of ourselves as individuals, but as teammates. We take care of each other, our clients and our communities. We trust in each other and take pride in what we can collectively achieve. Well, once again, I want to thank our teammates across the world for everything they do for Insight, our clients, partners and each other. I am privileged to be part of such a diverse and talented team. That concludes my comments. Thank you again for joining us today. And we will now open the line up for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Adam Tindle with Raymond James.
Adam Tindle: Okay, thanks. Good morning and congrats, Ken. Well-earned retirement. The industry will certainly miss you and we’ll miss you as well. I wanted to maybe just start on the comment that you made about expecting acceleration in the back half of the year that will drive stronger top line growth. And as I go into this question, I am sure you won’t miss this part of your job, but there is a fear from investors that devices are going to slow in the back half of the year and it’s a big part of IT spend. So, maybe just match that with why you are expecting acceleration in the back half of the year, the categories or verticals that give you confidence. And if Glynis wants to weigh in on a sense of magnitude for that for our model as Q3 and Q4 are going to be over that 4% to 8% full year revenue growth, while Q2 is under, just help us shape our models? Thanks.
Ken Lamneck: Yes. Thanks so much, Adam and thanks for the commentary and certainly your support and guidance throughout my tenure here. So, a couple of the reasons why, of course, we believe the second half will accelerate. One is I think from an economic point of view, as well as of course as you know the compares are much, much easier whereas you get to Q2, Q3 and Q4. So, that’s certainly just the math that works there. But from a device point of view that you touched on, certainly we have experienced elevated backlog. Our backlog is up low single-digits from Q3 to Q4. That continued to be up low single-digits from Q4 to Q1. And that trend is continuing now into Q2. So, there is certainly good indications of demand. Booking rates are up against substantially from where they were a year ago. So, I think all those aligned very, very well to the kind of growth that we are seeing. Now, we will see constraints, of course, with the semiconductor chip shortages that we are all experienced in the industry. But I do believe in all the indications we have will still, the OEMs are still going to ship more units this year than they certainly did last year. So, I think they will be, won’t be able to get everything we want by any means, but it certainly will be acceleration. We also believe that as clients now start to get back to offices, I do think that definitely impacts how infrastructure spend will be done. So, while we did see improvements as we talked about in a corporate and enterprise and client base, we saw positive growth in the quarter, which was really good news because we hadn’t seen that in a bit. We think that starts to accelerate even further as we get into the second half of the year. And I think as this semblance of people start to come back to their work environments in a hybrid fashion, I do believe that, that will definitely help accelerate a lot of the private infrastructure that has definitely been much more muted over the past four quarters. A lot of that is because people now in place to be able to look at the equipment, test the equipment and so forth. So, a lot of those things I think factored, but I think the economic backdrop certainly favors that, certainly the vaccines coming out of certainly what the UK and the U.S. has experienced already. That starts to, of course really evolve into Canada and EMEA here in the coming months. So I do think that the economies and IT spend will certainly improve in the second half, but Glynis let me throw it over to you to see if you wanted to add anything.
Glynis Bryan: I think, Matt – sorry, Adam, horrible, sorry about that. So, I think that if you look at, we grew 2% in Q1. We anticipate that we are going to be growing in the 4% to 8% range for the full year. The statistics now coming out from the various agencies would indicate mid single-digit growth for the sector. We anticipate we will do slightly better than that. The comparisons Ken mentioned are lower in the second half of the year. And we also, as Ken outlined, anticipate that there is going to be easing of some of the constraints and we’ll have more access to products as we go through the year. So yes, we expect that in the second half of the year, we will see higher than at least the 8% – the 4% to 8% range in terms of growth in the second half of the year, not necessarily in Q2 but in the second half for sure.
Adam Tindle: Understood. That’s helpful. And just as a follow-up, I wanted to ask on gross margin. It was down year-over-year for the first time in a while, albeit slightly and certainly weathered better than others out there in terms of your main competitors. But I wanted to ask about vendor rebates and incentives, Ken maybe the state of those right now, it seems like they wouldn’t need incentives much, because there is no supply anyway. And I am wondering if you are seeing that? And secondly, how you think about those once supply comes back, do those returned to normal rebate levels or could we potentially hit a new normal on gross margin for the company?
Ken Lamneck: Yes. So, I will comment and like Glynis said, Adam. So yes, we were down 10 basis points as you saw, for gross margin. A lot of that again driven by the acceleration that we talked about with hardware, carrying more lower gross margin than the rest of our business. So, some of the acceleration there, I think drove that. I think that’s the certainly main factor that we are going to, but Glynis I don’t know if you wanted to add anything towards that or not.
Glynis Bryan: No, I think what we had said back in February and I maintain now is that margins are – gross margin will be roughly flat for 2021 partly because we anticipate that hardware as a percentage of the total will be greater than it was in 2020 when we had more cloud-based, 100% margins in there as a greater percentage of our total. So with the improvement in hardware that we anticipate in the second half of the year, we believe that our gross margins will be in flattish on a year-over-year basis. And I would say, you want to see flattish.
Adam Tindle: Got it. Okay. Maybe just one final one bigger picture, Ken, what are the key attributes that you and the board are going to be looking for in a successor? If you could maybe stack rank a couple of things, is it vendor experience, global experience, large acquisitions, cloud?
Ken Lamneck: Yes. I mean, I think all of those are pieces. First and foremost, of course, we are looking for very solid leader. That’s first on top of the list. We think we have got the right elements in place. We have the right strategy in place. So I think all of the above type of experiences that she mentioned, of course, they are going to be important ingredients to that. So we are excited about that. I think it will be a very thoughtful process and we have, as I mentioned, a few really good internal candidates and a good slate thus far of external candidates that we are just in the process of starting to engage with. So nothing, I think out of the norm of what you would expect.
Adam Tindle: Got it. It will be big shoes to fill. Congrats again. Thank you.
Ken Lamneck: Thanks, Adam.
Operator: The next question is from Matt Sheerin with Stifel.
Matt Sheerin: Yes, thanks. Good morning. Wanted a follow-up on a question just regarding your outlook for acceleration in the second half, in the second quarter, it looks like you are going to have pretty easy comps. I think last year you were down like mid-teens on a pro forma basis year-over-year, 80% sequentially. And you are typically up sequentially at least a little bit in the June quarter. So, is there anything preventing you from growing at least lot of things sequentially constraints or that outlook in terms of the infrastructure spend, is that more skewed towards the back half?
Glynis Bryan: We will grow sequentially going into the Q2. I didn’t mean to suggest that we would not be growing sequentially going into Q2. We still have some supply constraints as it relates to more devices as opposed to the infrastructure stuff, but we will continue to grow. Our Q2 is normally, I have a software quarter for us because of the Microsoft year ends and that’s in June. Some of that gets netted, so it kind of meets the top line growth, but we would anticipate that we’re going to perform well from an overall software perspective. Hardware will be a little bit more muted just because of the supply constraints, but we start to expand to see sequential growth from first on the first quarter.
Matt Sheerin: Okay. That’s helpful. And then Ken, as you talk about the opportunities with, on the infrastructure side, the hybrid side and the bookings, could you quantify, I think you said your backlog was up a little bit, but that’s on the client device, but in terms of the real solutions projects, could you quantify how strong that’s looking?
Ken Lamneck: Yes, I would say that we’re certainly seeing we certainly had growth in first quarter in that space. So again, we anticipate with the projects we’re seeing with the backlog and bookings that we’re starting to see come through reality that that’s certainly increases. And again, more favorite towards the second half of the year, as people come again back more in a hybrid work environment back on site, we think that helps the acceleration. And of course the economic aspects do improve certainly in the second half. And the comparison of course, as you mentioned, get easier as well. So we’re definitely seeing good activity in that area. And as we talked to, and as you talked to me, the OEMs, Cisco and Dell, EMC and NetApp and pure storage, I think you’ll see a similar sort of story in that vein as well. So that’s why we come to that conclusion that the second half will be certainly stronger from an infrastructure point of view, meaning a hybrid infrastructure point of view in the second half of the year.
Matt Sheerin: Okay. And then lastly, on the public sector, you talked about strength there and the education market and we’ve seen multiple strong quarters of demand. Is there still legs left there in terms of that cycle in the education and public sector markets?
Ken Lamneck: Yes, I think there definitely is. Of course, we’re not nearly as heavily skewed towards that segment of our business as one of our competitors is. So it’s a much smaller part of our business. We did see continued growth, but I think the main aspect, I think what we’re all seeing of course with the pandemic drove men to think was, is obvious, is that I think on average it used to be, there was, for the average household one PC per household, I think now you’re seeing, of course it’s one PC per person, per household due to the education requirements that are necessary for distance learning. So I do think that there is a huge proliferation as we’ve seen with Chromebooks primarily in that market set. And I think that’s going to continue to, now that you’re going to have refresh cycles, that will be probably, certainly more accelerated with the numbers that you’re seeing out there and the fact that there is a lot of wear and tear on those with students. So I do think that that’s going to continue. Now, is there a surge going on now and last quarter and the next and this quarter and maybe into Q2. Yes. There is no question that won’t continue at that accelerated pace, but the baseline has improved pretty dramatically when you look at the numbers of units. So if you just take their refresh sort of cycles of that, that’s going to certainly increase the base pretty substantially for the education market.
Matt Sheerin: Okay, great. Alright. Thanks a lot, Ken.
Operator: Your next question is from Anthony Lebiedzinski.
Anthony Lebiedzinski: Yes. Good morning and congratulations on your pending retirement. So my first question is in regards to the pie chain constraints that are out there, just wondering, you look at the issues that falling out now versus quarter-end, have things improved or gotten worse or about the same. Can you just give us some more color on that please?
Ken Lamneck: Yes. Anthony, thanks for your question. Yes, I would say they are about the same. We were very close to this, as you could imagine. So we’re very on top of this, with the likes of Apple, Lenovo, Dell, HP of course, where most of that is occurring. So I would say that they are managing it. They are getting better visibility. So I would say it’s pretty much basically about the same. And we anticipate that those constraints will certainly occur through the rest of this calendar year. And then they’ll certainly be, there is obviously capacity coming online, but that typically takes a few quarters to three quarters to really start being fulfilled. So I think, we will see that into certainly the rest of this year and into the first part of next year, potentially.
Anthony Lebiedzinski: Okay, thanks. You gave us some color in the public sector. Just wondered if you could give us some additional color on some of your other vertical markets, so what are you seeing there?
Ken Lamneck: Yes, again, as we said, we were seeing that our enterprise and corporate and commercial clients that’s really, we did see positive growth for the first time in a while in those sectors, so that was really good news to see from a business point of view. And again, we continue to see, looking rates improve very nicely, as well, as of course, as we talked about backlog improving. So that’s what gives us the confidence with the ongoing sort of trajectory that we see in the business.
Anthony Lebiedzinski: Got it. Okay. And the last question from me, as far as, although there is more discussion from the companies about inflation, I’m just wondering, are you seeing that whether inflation other costs increasing and how you’re managing that?
Ken Lamneck: Yes, we are not seeing that yet, Anthony. Of course, there is a tremendous amount of talk about it. There has been for the last couple of months, but we’re not seeing that impact the business yet at this stage, but certainly mindful of that and what that could mean. There is no question we will see price increases on devices because of the semiconductor shortages has, obviously those prices are increasing for the OEM. So those will be passed through. Now for us, that’s a positive situation because it’s higher ASP’s for us and we do have systems to make sure that it’s immediately passed through to our clients. So but I don’t think that’s basically an increase in pricing, that might be viewed inflationary, but that’s really just due to the constraints more than anything else. But to your main question of inflation, not really seeing that impact any sort of clients or any discussion around that yet.
Anthony Lebiedzinski: Got it. Alright. Thank you. Best of luck.
Ken Lamneck: Thank you.
Operator: Next question is from Paul Coster with JPMorgan.
Paul Chung: Hi, this is Paul Chung on for Coster. Thanks for taking my questions. Ken, congrats on your retirement. You’ve seen a material amount of shareholder value creation under your leadership so congrats on that. And just on a competitive landscape, are you gaining market share, particularly against smaller players as your size kind of enables you to work relatively better through supply constraints. Then, just how do you think the industry evolves from lessons learned during the pandemic? Do you expect more consolidation in that space?
Ken Lamneck: A lot in that question there, Paul. First off, thanks for the thoughts there. Yes. I would say from a couple of areas that we’re seeing from our smaller competitors. They are a very resilient group of people. There is no question. Their businesses are pivoting. But there is no question that I think the trends that we’ve seen and some of the datasets we’ve seen where the larger players, the top sort of 10, 15 players in the industry, are certainly growing significantly faster, almost 2x what the smaller players are growing. That’s just the data that we’d show that. That doesn’t mean they are going away. That means those smaller players are pivoting to becoming more meta service providers and looking at different parts of the business. But I do think that it’s becoming more and more difficult for smaller players to continue to play in the supply chain aggregation games. I think the systems, the tools that are required now are much different than they were a few years back. I think that does play to the larger companies who can invest in really strong IT platform, strong e-commerce engines, strong digital marketing type capabilities. I think that’s been playing out and I think that will continue. I think that is leading the course to more consolidation. I think you’re seeing that across the landscape in many, many facets, and I think that’s only going to continue and that’s a very natural thing that occurs as industries continue to mature and grow. I think that’s definitely happening. As far as lessons learned, I think they are the obvious ones for us. I think companies are realizing that at the heart of the heart of the pandemic really was the reliance on IT. IT was the solution for them. As we said in our script, 5-10 years ago would have been really difficult for this. But when you look at the advent of the level of machines that we have for devices that are relatively inexpensive to allow people to work remotely, the scalability of the networks that’s occurring, the application of things like Cisco WebEx and Teams, which really helped the collaboration front, all play really strongly. So, I think, for IT, I think overall, the pandemic has been a good thing in the fact that more and more companies realize that at the heart of it, they have got to become much more digital as a company in order for them to succeed. I think we will see some of the remnants of this, of course, continued. I think we all agree that the workforce won’t be the same going forward. I believe that’ll be hybrid, but they’ll certainly be more work from anywhere type of activities that will continue to migrate. So I think those are some of the obvious lessons learned, but I think overall, it just shows how resilient people are to get the job done.
Paul Chung: Got it. Thanks for that. Then, Glynis, if you think about free cash flows for the year, I assume we should expect a pretty strong seasonal FTQ similar to last year and then some drag in the second half. What are some of the puts and takes as we navigate through the year and that could drive some upside to maybe your cash on operations? Thank you.
Glynis Bryan: That’s a tricky question, Paul. So part of it, I think, is that as we navigate in the second half of the year, we anticipate that we’re going to have more hardware purchases and that typically is, would be a drag on our cash flow performance at the same half of the year. We do anticipate that we will have better performance around software, which typically helps us from an overall cash flow perspective. I think that combination is really what’s going to drive the cash flow of performance that we would see in the second half of the year, as well as the improvements that we’re seeing in our collections from an overall AR perspective and reductions in our DSO. We’ve done a good job of expanding on the payable side with the facilities and the inventory financing facilities that we use. So I think continued use of those will also drive to the cash flow performance that we’re anticipating in the second half of the year.
Paul Chung: Okay, great. Thank you.
Operator: Your next question comes from Vincent Colicchio with Barrington Research.
Vincent Colicchio: Yes. Ken, what areas of your business are you experiencing net market share gains?
Ken Lamneck: Thanks, Vincent, for the question. No question on the software side, where we get good datasets from the publishers and so forth. No question, we’re gaining a share when you look at cloud, when you look at Azure consumption from Microsoft, when you look at what we’re doing with the likes of companies like VMware, no question that we’re certainly gaining. That’s a big area of focus for us as a company. Certainly, good datasets that point to the fact that we are, companies like Adobe, we’re definitely doing well on the software front. On the hardware front, it depends upon the specific situation. A little bit hard in these kind of very constrained environments to gain share. Your goal really is to make sure you don’t lose any share during these environments and that you’re getting the right allocation of products to support your client needs. And then of course, the other big segment, of courses on, server storage, networking side of the business. Networking is going well for us. Some areas of focus for us in server and storage, where I think we’ve given up a little bit of share in those areas. That would be sort of summary of how we see the business.
Vincent Colicchio: And why are you assuming that your people get back to the office in your guidance?
Ken Lamneck: Good question. We haven’t. We told our teammates that, of course, we will give them a month’s notice for that. And of course, it depends upon where you are in the world. Certainly in Australia and New Zealand, our people, the officers are fully open and have been for a while. Certainly, we’re seeing that in Hong Kong and Singapore, certainly China, our offices in China have been open for a long, long time. In Europe, it’s a different situation, the UK, of course, looking much more positive than the rest of Europe. I think that’s going to take a few more months. I wouldn’t expect Europe to really get back to more of the offices until sort of the late summer maybe, or September’s timeframe based upon what we’re seeing. At the U.S., we’ve got our offices open. They are sort of voluntary basis, but we do believe that as we get into July, that that will become a much more sort of hybrid sort of situation. We will be having our main larger offices open. But again, we will follow all the CDC guidelines and so forth. Canada, similar to Europe, a little bit more constraints, certainly with lockdowns, but vaccines coming out pretty quickly. Anticipation, again, would be that sort of in the July timeframe that we’d see certainly much more activity of back to offices. And we’re hearing the same sort of situation with our clients as well. When you look at what their plans are, certainly you being in the financial community know, the finance community is leading this. You’ve seen with Goldman and JPMorgan and Saab in regards to offices opening in June and a lot more activities. We think that’s positive as we get back to more of a hybrid sort of environment.
Vincent Colicchio: Thanks for answering my questions.
Ken Lamneck: One other question, Adam, I apologize I missed your question on the rebates. I wrote it down, but didn’t get to it in the verbal response. On the rebate front, we’re actually not seeing any degradation there. We’re seeing great support continued from our partners and the investments, they are now important. Our activities are to their portfolio. So we are not seeing degradations in regards to any of the rebate sort of programs that we have in place. So and we think obviously as we come out of that, the economy gets stronger and lines go up the double, those will always be very similar what they were. But during the pandemic, we didn’t see any of our partners really retract from that situation at all so that continues to be pretty stable for us.
Glynis Bryan: Ken, could I just clarify one question that I thought we would get but we didn’t get? So as you think about SG&A, we’ve given guidance out there that says interest rates we will get to 11.7% adjusted SG&A percentage of sales for the year. But in the first half of the year, our SG&A is higher and that 11.7% and then the second half of the year, slightly lower than that 11.7%. You should anticipate in Q2 that SG&A would be higher than 11.7% and it will come down in the second half of the year to get to that, that’s it.
Ken Lamneck: Okay. So thanks everybody for joining. We appreciate it.
Operator: This concludes today’s conference. You may now disconnect.